Operator: Good morning, ladies and gentlemen, and welcome to Siemens Healthineers Conference Call. As a reminder, this conference is being recorded. Before we begin, I would like to draw your attention to the safe harbor statement on Page 2 of the Siemens Healthineers presentation. This conference call may include forward-looking statements. These statements are based on the company's current expectations and certain assumptions and are, therefore, subject to certain risks and uncertainties. At this time, I would like to turn the call over to your host today, Mr. Marc Koebernick, Head of Investor Relations. Please go ahead, sir.
Marc Koebernick: Thank you, operator. Good morning, dear analysts and investors. Our CEO, Bernd Montag; and our CFO, Jochen Schmitz, who are here with me in our headquarters in Erlangen, will be taking you through the details of our Q2 2024 numbers this morning. The results for the Q2 fiscal '24 were published this morning at 7 a.m., and you can find all the relevant documents as well as the recording of this call on the Investor Relations section of the Siemens Healthineers website. After the presentation, there will be a chance to ask questions. And as usual, please let me remind you of the 2-question rule for the Q&A session. So let us get started. Bernd, please, the floor is yours.
Bernhard Montag: Thank you, Marc, and good morning, dear analysts and investors. First things first, we reiterate our outlook for comparable revenue growth and adjusted EPS for 2024. Jochen will take you through the details at the end of his part as usual. In terms of revenues, the second quarter was coming up against very tough comps in the equipment businesses. Imaging was at strong 13%. Varian was at super strong 27%, and Advanced Therapies with a very solid 10%. Hence, especially for Imaging and Varian, it is not surprising that this quarter's growth rate is below the full year guidance band. We had flagged this, and revenue growth in Q2 came in at 3%, in line with our expectations. Adjusted earnings per share came in at EUR 0.55 in Q2, year-over-year, up by 13%, with a strong EBIT contribution. In the second quarter, we again expanded our strong order backlog with an equipment book-to-bill rate of 1.08. In detail, Imaging growth was 3%. The margin this quarter of 22% sequentially improved by more than 100 basis points compared to Q1, and we expect further improvement in H2. Varian revenue was 2% below prior year quarter, which is quite an achievement by the team, considering the comp. And the margin is well in the guided range of 15% to 17%. Advanced Therapies delivered solid growth of 8% at a margin of 16.2%. And Diagnostics grew by 4% at a 4.1% margin, at the upper end of our guided ranges and is fully on track. Jochen will provide you with more insights in the financial section. Now how do we execute on our priorities, creating value from our 2 sources of value creation. Imaging, Varian and Advanced Therapies, on the one hand, are truly synergetic. And for these 3, our recipe is winning together, or in other words, leveraging combined scale. We are advancing in all modalities and markets with substantial innovations. We are launching new MRIs at the entry level, while at the same time, innovating procedures in the OR with our CRMs. We are boosting our offerings in cancer care with unprecedented imaging quality to enable accuracy in detection and treatment. At the same time, we are making high-end dual-source cardiac imaging available for rural hospitals and outpatient settings. And we are getting good feedback from the market, demonstrated by a further expanding backlog with the equipment book-to-bill sitting at very good 1.11 for the first half of fiscal '24. Varian is back on track delivering stable performance, manifesting in high growth and less volatile margins. For Diagnostics, on the other hand, the recipe is focus, and there is only one priority: transforming the business to win. We take advantage of the completion of the Atellica portfolio and are progressing well with the conversion to Atellica. Also, the portfolio simplification and site consolidations are taking shape, which is an important element to ultimately optimize our supply chain. With regard to our guided transformation savings of, in total, EUR 300 million until fiscal year '25, we are well on track. The savings find their way into the significantly improved margins, and our improved setup translates into solid growth rates for several consecutive quarters now. Now changing flight level a bit. How do we sustain our growth into the future? The secular growth drivers are probably well known to you, and you might remember this slide from previous quarterly calls. We are in the pole position to directly tackle the challenges in health care systems. Significant innovations help us to further gain market share, accelerate replacement and ultimately lift attractive innovator margins with increasing scale. And we are witnessing extraordinary breakthroughs in medical science and technology, providing new opportunities for our customers and for us. Breakthroughs, which technically empowered health care workers to be more productive; breakthroughs, which enabled better diagnosis and better treatment with substantially better patient outcomes; breakthroughs, which will finally help to provide access to health care to more than 4 billion people who do not have it today. Let me dive into the implementation of our growth strategy on the next 3 slides and give you some examples on how we are sustaining our growth ambitions. The first angle is about enabling efficient operations to improve productivity, and some recent innovation showcase very well how we contribute here. MAGNETOM.Flow is the second incarnation of our literally helium-free MRI technology, bringing it from the entry level over time to the higher field strength platforms in our portfolio. MAGNETOM.Flow has a closed helium circuit and no quench pipe required for cooling bringing down total cost of ownership and saving resources. Usually, we talk about the trickle down of new innovations. Here, we talk about an innovation from the entry level, making its way up in the portfolio. Our AI-enhanced imaging with Deep Resolve enables shorter measurement times with improved image quality. MAGNETOM.Flow's high degree of automation simplifies the complex MRI workflow and ensures the highest image quality independent of how experienced the user is and increases efficiency. Syngo Virtual Cockpit is not just a multi-vendor remote scanning software, it is a game changer for health care systems, enabling virtual access to experts, and it is -- and it increases productivity. It enables higher utilization for EG MRIs by allowing additional MRI slots throughout the system, improving patient access, reducing wait times and increasing flexibility for health care workers to ensure the highest quality of care at all sites. Syngo Carbon is our enterprise imaging and reporting solution. It provides a holistic platform for image interpretation, reporting artificial intelligence and data management in one integrated and user-friendly workspace, thus enabling enhanced knowledge and data sharing across the entire health care continuum, helping to connect care teams for better collaboration and outcomes. The same applies to Oncology-as-a-Service. Our advanced technology-enabled clinical services are designed to optimize the value chain of our cancer center. These tailor-made solutions provide clinics with technology-enabled value-added services, especially in physics and dosimetry to provide better outcomes by reducing costs. The second thrust we focus on is innovating continuously for better diagnosis and treatment. With my example, I focus on cancer today. Effective cancer therapy requires diagnosis, constant reassessment and ongoing adjustment of therapy delivery. Our solutions provide superior image quality and more accurate detection for screening programs, EG for lung cancer and for breast cancer. Lung cancer has one of the highest mortality rates among cancers, as it grows fast and is most often detected quite late. Therefore, the increasing amount of screening programs are key to identify early-stage tumors in risk patients, thus improving life expectancy by reducing treatment costs for the health care system. In Germany alone, about 650,000 additional CT scans per year are expected with the screening of risk patients. Our entry-level SOMATOM go platform provides leading dose reduction technologies to reduce the exposure for patients over the whole screening and treatment period. In addition, together with Intuitive Surgical, we provide endobronchial biopsies for diagnosis and treatment of small lung nodules by using integrated image guidance and robotics. These minimally invasive procedures for biopsies are guided by C-arms and reduce complications for patients substantially. Another screening program, where our products can make a difference, is for breast cancer. Our MAMMOMAT B.Brilliant is a new mammography system with wide-angle tomosynthesis and strong AI capabilities. It offers us scan time of around 5 seconds, around 35% faster compared to other devices. It provides the fastest wide-angle tomosynthesis on the market, creating a 3D image with highest depth resolution in the shortest time possible. In this way, abnormalities and microcalcifications in the tissue of the breast can be identified with a high level of accuracy. Another great example for our innovation leadership for better treatment in cancer care is Varian's HyperSight. It combines our strength in imaging and in radiation therapy. HyperSight offers substantially improved image quality at significantly increased speed. It allows for a substantially improved treatment planning right in the treatment room and precise diagnostics while the patient is in the clinic. The FDA has meanwhile also cleared HyperSight for TrueBeam and Edge radiotherapy systems, making this groundbreaking technology available for the full range of Varian linear accelerators, including the majority of the installed base. Cancer is the world's second most common cause of death, responsible for 10 million fatalities a year. 2/3 of these are from low and middle income countries. Especially in these countries, patients have only very limited access to state-of-the-art diagnosis and therapy, which brings me to the third growth angle. Thanks to our innovation strength, we play a key role when it comes to expanding access to care. We make state-of-the-art imaging available to underserved countries and communities. We have seen the first installations of the MAGNETOM Free-family in several emerging countries. For example, our partnership in Rwanda includes several MAGNETOM Free installations in hospitals across the country to provide access to imaging. But decentralized locations are also equipped with ultrasound systems to enable access to imaging, especially for mother and child care in Rwanda. With the launch of the dual-source CT SOMATOM Pro-Pulse, we now make high-end CT technology accessible for smaller and rural facilities as well as outpatient diagnostic centers. Our unique dual source technology allows for very high temporary solution and a super-fast scan speed, which is, for example, important for scans of the heart to limit image artifacts from breathing or motion of the heart, which otherwise could only be done with medication of the patient. A main barrier for the adoption of dual source CT in rural settings was life cycle costs. With up to 20% lower life cycle costs, we are able to break this barrier due to an improved cooling system and more efficient power consumption. By making existing high-end technologies more accessible, we can extend our value partnerships also to underserved countries and communities, and with this, expand access to care. I already touched on the value partnership in Rwanda. Another example is the partnership in Zambia. In Zambia, we enable access to cancer care by providing products and services from the 3 segments, Varian, Imaging and Advanced Therapies, for the diagnosis and treatment of cancer. And when it comes to underserved communities, I already outlined last quarter that we entered a strategic 10-year value partnership to bring the latest diagnostic and therapeutic equipment to patients across Oklahoma, particularly in rural and underserved communities. On back of all these proof points of innovative -- of innovation strength, holistic portfolio and commercial impact, we feel very well prepared to deliver on our future growth targets. We expect to deliver on our targets from the Capital Market Day of 6% to 8% comparable revenue growth, CAGR for the group as well as 12% to 15% for EPS. Beyond 2025, we expect to keep this very attractive growth profile with mid- to high single-digit comparable revenue growth translating to double-digit EPS growth also on the medium term. And with this outlook, beyond the current fiscal year, I hand it over to Jochen for a deeper look into the financials of the past quarter as well as the outlook for the rest of the year.
Jochen Schmitz: Thank you, Bernd, and a very good morning to everyone also from me. Before I dive into the Q2 performance in more detail, let me first add some color on our equipment orders book-to-bill of 1.08 this quarter. In this segment, we again saw a very good book-to-bill, especially in imaging and in Varian, thus further strengthening our already very strong order book. Let me now go to our Q2 revenue performance. As we had flagged, this quarter was up against very tough comps ex antigen from last year's quarter. Revenue growth in Q2 was at 3%. Looking at half year 1, thus eliminating the volatility that you see in the quarter due to comps, we had a good first half with 5% growth ex antigen, especially having in mind the temporary headwinds in China. As a side note, we have added the prior year quarter's ex antigen growth numbers for your reference in the presentation. We disclosed growth numbers including antigen from last year were lower because back then, antigens still impacted the year-over-year order -- the year-over-year growth numbers. With this, let's have a look at the regions in Q2. We posted excellent growth in EMEA in Q2 as well as good growth in the Americas and in Asia Pacific, Japan. Also in the regions, like at the group level, the intensity of growth was impacted by comps. As expected, the region China declined versus very tough comps and was still temporarily impacted by the anticorruption campaign. In absolute terms, we had a strong quarter. Adjusted EPS amounted to EUR 0.55 in Q2. This was driven by the year-over-year margin expansion against a strong prior year quarter despite headwind from foreign exchange. Headwinds from foreign exchange was driven by different currencies, including the devaluation of the Egyptian pound, impacting the segment's Imaging, Advanced Therapies and Diagnostics. Below the line, we saw a positive impact on financial income, net in the low double digits from a changed market valuation of an equity investment. This partially offset the expected increase in interest expenses in Q2, resulting in a flat year-over-year total financial income. The tax rate came in at 20% with some tailwind from the reversal of tax risks. The cash conversion rate pretax came in at 0.59% in Q2. Operating cash was temporarily impacted by inventory buildup preparing for a strong second half revenue numbers. Post-tax free cash flow came in at EUR 120 million, impacted by a relatively high outflow of tax payments in Q2. For the second half, we have several measures in place to improve operating working capital. These measures comprise, for example, reducing safety buffers and stock levels. During the pandemic, these safety buffers enabled us to always be able to deliver to customers. And we now, step by step, reduce these safety buffers. We will, at the same time, improve the cycle time of the operating working capital and free up cash. Please find the EBIT to cash bridge in the appendix of the analyst presentation. Let us now dive into the Q2 segment performances, starting with diagnostics, where we are well on track with the transformation to crystalize the business' full potential. The positive revenue momentum in our Diagnostics business segment is continuing with solid growth of 3.7%. The adjusted EBIT margin of 4.1% was mainly driven by operational improvements from the transformation program, contributing to a margin expansion of more than 600 basis points year-over-year. Furthermore, like in Q1, the margin also benefited from a longer useful life of our leased laboratory analyzers. This effect was partially offset by foreign exchange headwind. Stripping out the currency effects, the margin in Q2 was on the same good level as in Q1 so we are fully on track. Now let's look at Varian and Advanced Therapies on the next slide. As Bernd pointed out at the beginning of the call, Varian is delivering a significantly more stable performance in fiscal year 2024. Varian achieved a strong absolute revenue number of EUR 910 million, which was bang in line with the Q1 revenue of EUR 911 million, one proof point for a much more stable performance in the quarters. In relative terms, Varian was up against very tough comps of 27% in the prior year quarter. When looking at H1, this amounted to a considerable growth rate of 9%, a strong performance compared to the 11% growth in last year's H1. We also saw a more stable performance in profitability with much less volatility in Q1 and Q2 margin than in prior year. And with a 16.4% margin in Q2, also a strong year-over-year margin expansion of 200 basis points. Advanced Therapies delivered strong revenue growth with comparable revenue growth of 8%, particularly strong, considering the tough comps of 10% growth in prior year's quarter. In terms of the adjusted EBIT margin, we saw a very healthy margin level at 16.2%, despite year-over-year headwinds from foreign exchange. And now let's look at our largest segment, Imaging. Let me start with the Q2 performance on the left-hand side of the slide. The 2.6% growth in imaging needs to be put into the context of very tough comps. Q2 2023 had 13% growth, benefiting from very good growth in China last year, while this year's Q2 obviously faced the headwinds from the anticorruption campaign in China. The best growth contributors in imaging were magnetic resonance and molecular imaging. The adjusted EBIT margin improved sequentially from 19.1% in Q1 to 20.2% in Q2. Compared to Q1, the Imaging margin benefited from a more favorable mix despite an expectedly weak China. When we look at the year-over-year comparison, the Q2 margin was held back due to a still unfavorable business mix and headwinds from foreign exchange. Additionally, we had growth below average in Q2 in Imaging, hence, there's also a lower absolute profit contribution coming out of the strong profit conversion ability in this business. We're now at half time in our fiscal year. Let us have a look where we stand and what to expect for Imaging in second half on the right side of the slide. Based on the actuals in H1 of 3.9% growth and 19.7% margin, we can now become more concrete for the performance within the growth and margin range of the Imaging assumptions and give some color on the phasing how we will end with this -- within the range. With the half -- first half year jump-off basis, we now assume imaging will end the fiscal year more in the lower half of its revenue and margin band, as also reflected in the consensus. Our expectation of a second half acceleration is unchanged, as already baked in, in our outlook from November 2023. This acceleration is well substantiated, firstly, by regional dynamics, which impact the equipment revenue. In the United States, we saw only moderate revenue growth in the first half, while at the same time, there was a very good momentum in order intake. Equipment book-to-bill in the United States was above the first half group number of 1.11, pointing to a revenue growth acceleration in the second half. EMEA grew already very strong in the first half, and we expect the strong revenue contribution to continue in the second half. And we expect China to improve its absolute revenue contribution sequentially. Regarding our equipment revenue, our strong order book covers a large part of the equipment revenues in the second half already. Over 70% of the expected remaining equipment revenue in the second half is already covered by scheduled backlog. Secondly, the acceleration is substantiated by our high share of recurring revenues, which amounted to over 40% of total revenue. These recurring revenues are expected to grow in the higher single digits and provide a very stable basis of growth for the second half. And thirdly, on accelerating margins. Margin expansion will be driven by higher absolute profit conversion from higher absolute revenue with higher year-over-year growth in the second half than in the first half as well as by further normalizing mix. And this brings me to our outlook for 2024. First, we confirm our outlook for fiscal year 2024 for both comparable revenue growth and adjusted basic earnings per share. In our main assumptions, we only update the Diagnostic margin. We now assume the Diagnostic margin to be between 4% and 6% in fiscal year 2024. The upgraded Diagnostic margin reflects the positive impact from the longer useful life of leased out laboratory analyzers. The underlying margin trajectory for the transformation is unchanged and as discussed, fully on track. Stripping out the currency effect, the margin in Q2 was on the same good level as in Q1. So operationally, we are fully on track. We confirm all our main assumptions for growth and margins of the segments as well as for central items, financial income net and the tax rate. Now with the first half in the back, we become more concrete for 2 of the assumptions in terms of the performance within the range. Firstly, in Imaging, we continue to expect an acceleration in the second half as outlined in the slide before. Due to the jump-off basis with the first half actuals, we now assume Imaging, as discussed, will end in the fiscal year in the lower half of its revenue and margin band. Secondly, in financial income net, we saw a positive impact in the first half from a changed market valuation of investment in listed company. Hence, we now assume to end the fiscal year with financial income net in the upper half of this -- of its spend more towards the negative 280. As always, let me finish with the general dynamics that we expect in the current quarter ending in June, our Q3. First, to get this out of the way, antigen will not play a role in the year-over-year logic. Now firstly, a look at Imaging, Varian and Advanced Therapies. As we have pointed out previously, in terms of headline growth rates, Q3 looks like another tough comp. However, in absolute terms, revenue in Q3 last year was on a lower level than in Q2. Therefore, you would expect a good revenue growth quarter in Q3, more in the upper half of the guided range of 5% to 7% ex antigen. The 3 equipment businesses will drive this accelerated growth with Varian clearly leading the camp, also because of last year's volatility where Varian had a low revenue quarter in Q3. So we would expect Varian revenue growth to end up above its range. As outlined before, in Imaging, we would expect further sequential margin improvement in the second half and in Varian, a continued stable margin performance in the second half. Regarding the phasing in H2, it would be fair to assume that Q4 is the strongest volume and margin quarter, our only seasonality within the fiscal year. Diagnostics, we would expect to end up in Q3 within the ranges of the assumptions for growth and margin. And on that note, I'd like to end and hand it over to Marc for Q&A.
Marc Koebernick: Thanks, Jochen. And before we go into the Q&A, let the operator briefly remind you of what to do to get into the queue.
Operator: [Operator Instructions]
Marc Koebernick: Thank you. So we can kick it off now with Hassan from Barclays. So Hassan, the line should be opened by now.
Hassan Al-Wakeel: I have 2, please. Firstly, can you talk about the environment in China? And to what extent fiscal Q3 is panning out to be the normal quarter from an order perspective that you thought it would be? And secondly, can you talk about your progress on the helium-free MRI, MAGNETOM.Flow at a field strength of 1.5 Tesla with the 70 centimeter -- 70 centimeter bore size and when we can expect that?
Bernhard Montag: Yes, thank you for the questions. I mean, in China, we will see a -- we expect an improvement in H2, as Jochen has said, and we expect this also to show first signs in the third quarter. And at the same time, we also will get step-by-step more visibility on the upcoming stimulus programs. In addition, yes, I want to also say that we had a very strong book-to-bill of 1.08 in this quarter despite -- in Q2. Despite China, we are at 1.11 for the first half, which also shows that the rest of the world is really intact and shows very, very good momentum with especially the U.S. kicking in the second half of the year. On the low helium inventory systems, I mean, we talked about it in the Meet the Management also where we said by 2030, all MRIs will be based -- in our portfolio will be based on this technology, including also the Deep Resolve technologies or the software-enabled simplification of scanning, but also significant acceleration of scanning. And this is a program we are executing. There's the MAGNETOM Free. There's the MAGNETOM.Flow now. And step by step, we go to the higher-end systems, the 70 Open Bore system, the 70 centimeter systems, the 3 Tesla systems following next and so on. So we have a very clear time line for this.
Marc Koebernick: So thank you, Hassan. We move on to the next person on the queue that will be Veronika from Citi.
Veronika Dubajova: I will keep it to 2, please. My first one is just maybe a little bit of a backwards inventory, obviously, relative to the expectations you had outlined for Imaging, at the time of Q1, you have coming a little bit below. And Jochen, I was curious if you could maybe articulate what has not fully gone to plan in the second quarter, both on a sales growth and a margin perspective. And what gives you confidence that you see that acceleration in growth and margin improvement? I know you outlined some of these things already, but if you can just maybe give us a little bit more color, that would be helpful. And then my second question is on the order dynamics. Obviously, book-to-bill of 1.08, tell me if my math is incorrect, but that would imply mid- to high single-digit order growth on my math versus your peers coming it basically flat orders to declining. Just kind of curious what you think is driving that significant outperformance? And any concerns you have about the durability of it, as we look into the rest of the year and into fiscal '25.
Jochen Schmitz: Yes, Veronika, thanks for your questions, which are obvious ones, actually. First of all, on imaging, when we look at how we went into the year, it was always clear that the second half -- or this is a year where the Imaging performance is skewed towards the second half. That was always clear, and we see this now. Now giving you more color, why do we feel confident about the second half and the acceleration, first of all, as I outlined, we saw good momentum on the order side -- pretty good momentum on the order side in the North American market, which gives us a lot of tailwind for the second half because we have only seen moderate revenue growth coming out of -- in the North American market for the first half. That has -- is double plus. It obviously drives the top line as well. It drives margin and margin quality mix, regional mix quality, just to say this. Then as I pointed out, we expect to see sequentially increasing absolute revenue numbers out of China. And I'm deliberately not talking too much about growth rates now because the growth rates are also currently a bit, I would say, disturbing because -- or disturbed because also of prior year's volatility, in particular in the Chinese market, yes. And when we then look into, I would say -- in general, into the business line mix, I also see a positive trend there. And I refer to this more indirectly by telling you that we have more than 70% of the expected equipment revenue are scheduled. So we know relatively well what to come. And therefore, this is also a positive contribution. And lastly, we have a lot of solidity on our -- and strength on our recurring revenue side with service growth in the high single digits, which also sets us apart clearly from competition. When you think about what was, so to say, driving margins maybe from your perspective, a bit below the 21% level for Q2. I think that is -- and I tried to also point that out, it is obviously a bit deeper impact from China and really not a lot of other things. Therefore, we feel exactly to be on the trajectory we expect it to be on. And yes, that's why we also feel confident about the second half. On the order dynamic side, I think we are very happy with what we see. Very happy with 1.11 in the first half, knowing that when you can see that China was, as expected, weak in the first half. We delivered on the full year, so to say, assumption of -- or higher than 1.1. We expect this to continue. So our expectation for the full fiscal year remains above 1.1. And everything we see -- the funnel we see in the market is confirming this. Therefore, we feel very, very good about this. And we see also healthy markets across the board. You asked about outperformance. This is also a question which could be answered by Bernd, but I would say, I think when you look at -- and Bernd, I think, highlighted a lot of things in his speech, why do we outperformed. We are just the better company in this industry, in a lot of figures. And this continues, and our particular success in value partnerships, which is a long-standing commitment of customers towards us. Us as a partner, underscores this very clearly that people also believe that this is continuing. Otherwise, you would not enter in such long-standing relationships. And when we look also, I would say, more recent data, we just got from, for example, the United States, the numbers also do look good, in particular on the order intake side. And so we feel very good about this. The innovation pipeline is filled. We have the right priorities set, and therefore, feel good about our relative position and the absolute order growth.
Marc Koebernick: Good. Thanks, Veronika. We go to the next call on the line. That will be Graham from UBS.
Graham Doyle: Just 2, please. The first one on Imaging, just sort of following up from Veronika's question. So the -- obviously, there's been a slight shift in the mix at the start of the year and a little bit of currency. But as we were through the year and we think about next year, should we think about a sort of recovery when the mix normalizes back to slightly higher expectations on the margin side? Or is there anything in here on the cost side of things that's just a bit higher in absolute terms and sort of rebasis margin? And then the second question is around -- I will go China stimulus. And what sort of information do you have so far? What have you got baked into your expectations? And would this be upside when you think of the numbers you gave to us at the start of this year for 2025?
Bernhard Montag: Maybe let me start with number two. I mean, on the stimulus, what we -- I mean, what we know is that this is currently, let's say, in the making as a program driven by the Chinese government, meaning there is -- I mean, now I speak in company language here. So there is the top-down intent to do this. And now there is the bottom-up planning who is -- what exactly is the demand, who needs what, and then there will be a final decision on how this exactly has executed, what the rules are, what the exact amounts are, but it shows. Maybe if I can make a short philosophical remark here or a general remark here, I mean, the underlying growth in China is there. It's about helping hundreds of millions of people getting access to better and most modern health care. This underlying growth is sometimes a little bit, let's say, muted by topics like now the anticorruption campaign, which results in pent-up demand. And sometimes, there are stimulus programs, which then generate some additional tailwinds, which then also normalizes. So I think when we look at the topics like the next year and the years to come, we should always look at what is the underlying driver. And this is procedure growth, and this is about equipping hundreds of millions or a country to give high quality care for hundreds of millions of patients. And we will give more color on this as soon as we know more. But I mean, currently, when it comes to the next year, we feel very comfortable with what we have said. And as I also said in the -- in my part of the speech, and if there is additional topics to be considered on China, we will definitely talk about it, but then probably when we give the guidance for the next year in early November when we look at the details, especially the imaging details. Otherwise, I mean, maybe on your first question, we will see a further sequential improvement of the imaging margins quarter-over-quarter in the second half of the year coming in from the effects which Jochen talked about, there will still be more volume. There will be also a further improvement of mix. There will be also a higher contribution coming from the U.S. We see the normalization of China, and we see the normal conversion kicking in, which is the basis of the margin expansion, which we always talk about on the Imaging side. And we feel very comfortable with our -- and confident with the Imaging trajectory for the years to come and see absolutely no reason to do some kind of a rebasing of the assumptions.
Marc Koebernick: Thanks, Graham. So next call on the line would be Sezgi from HSBC.
Sezgi Oezener: Sezgi here. I will also keep it to 2, please. First one on China, you detailed some of the stimulus plan. Have you seen any move on the pricing side? Earlier, a few months ago, there has been a lot of concern about potential central procurement of imaging devices, which is a hard thing, given how customizable you are you said, but do you have any updates on that front? And the second question is what are some of the moving parts behind your guidance upgrade in Diagnostics? What has changed? And where have you gone faster in terms of the transformation? So some color would be -- that would be great.
Jochen Schmitz: Yes. Thanks, Sezgi. On China, I think I would keep it relatively short the answer, because I don't think that we have not seen any changes with regard to the pricing environment for us. Nothing beyond what we have talked about also in the past, just to say this. On the Diagnostics side, I think we -- when you listen to what we said carefully, we always say we are well on track operationally. That means, in other words, we're exactly on track what we wanted to achieve. The only update -- so the only moving part which was also not planned for because you cannot plan for something which then trigger, so to say -- first of all, it needs to be empirically evident first and then figures an accounting change, which was the longer useful life of the -- of our leased equipment in Diagnostics. This is what we qualified at 150 basis points, and that's exactly what we changed in the outlook assumptions for Diagnostics. On the margin side, that means we raised the margin outlook by 150 basis points, lower end from 2.5 to 4, upper end from 4.5 to 6. I think these are the moving parts. Otherwise, the Diagnostic business, as I said -- or as we said, is fully on track.
Marc Koebernick: Thanks, Sezgi. So we move on to the next one on the line that would be Julien Dormois from Jefferies.
Julien Dormois: Thank you, Bernd, Jochen and Marc, for taking my 2 questions. The first one relates what you have commented back in November last year when I think, at the time, you said that you were still pretty comfortable with the EPS number for that was in the consensus for 2025. So I'm just curious whether you would still feel comfortable with that number as it is, and maybe elaborate on the main drivers that would propel this EPS in '25, 20%, above what it should be in 2024. And the second question basically relates to Imaging. You did not call out any particular strength in CT in this quarter. So just curious to see what is the current state of adoption for photon-counting CT. Is it just some sort of blip or is just -- growth was a stronger elsewhere? That would be helpful.
Jochen Schmitz: Yes. Thank you, Julien, for your question. On the EPS side, I think we -- I think Bernd was very clear how we feel about our 2024, 2025 outlook and also the midterm outlook because he even put the slide back into this deck, which we use the exact same slide we used in November. That means in consequence, we are also fine with what we guided for in November for 2025, just to say that upfront. And why is that? First of all, when we look at the dynamics, we currently see, we expect the backswing from China, because we see, as Bernd also referred, to this -- the underlying growth trend in this market is, in fact, is currently not reflected yet in -- I would say, in the financial terms. But the underlying demand is there, therefore we expect the backswing next year. We expect further margin expansion in Diagnostics from our transformation savings and from the transformation program. We expect margin expansion in Varian from the full impact of the higher supply chain maturity and pricing measures feeding in to the full extent into the Varian P&L. We expect to see margin expansion in Imaging and in Advanced Therapies, as indicated. Then we said last -- in November that we also expect to see, I would say, normalizing -- normalization on the central items spending in 2024. And what is also important is that we do not -- we did not and still do not expect year-over-year headwind nor tailwind in 2025 versus 2024 from interest expenses and tax rate levels. And these were the main drivers behind our assumptions for the strong EPS growth from 2024 to 2025, as indicated in November so unchanged, just to say this. Then on photon-counting CT, we are very, very happy with what we see in the market. The reactions on the customer side is still very, very positive. The number of academic papers we show the clinical operational benefit of photon-counting is constantly increasing. I think we are today, meanwhile, above 300 papers or so. So that is really working very well. And also our internal efforts to broaden the spectrum of photon-counting CT is proceeding as planned. So we stay alert, so to say, what's coming. And as I said, the uptick in volume is as planned. It's good. But it's -- today, it's still only -- so to say, only the product line at the upper end of the CT spectrum. The CT is, so to say, only the second largest business line in Imaging. So it has an impact. It has a positive impact, but it's not, so to say, the only driver behind our strong imaging performance.
Marc Koebernick: Okay. Thanks, Julien. So we move on to Falko from Deutsche Bank.
Falko Friedrichs: My first question is on your Imaging guidance for fiscal year '24. To what extent is getting into the lower end of the margin corridor depend on improvements in China? Or asking it differently, even if China stays a little bit weaker than you might hope, could you compensate that, to some extent, by the U.S. or the European business? And then secondly, where do we stand with this anticorruption campaign in China? Is that slowly coming to an end now? It would be interesting to see what you hear on the ground.
Jochen Schmitz: Falko, on your first part of the question -- let me start with the second part. I think when you look at the anticorruption campaign, we see it is still ongoing, to a certain extent, but -- and -- but on the other hand, we see also, I would say, increasing momentum also in the marketplace. And as I said, we expect to see sequential, absolute higher revenue numbers in the second half, just to say that upfront. On -- I would say, on the sensitivity, with regard to the China assumptions, we baked into our outlook and the margin profile in Imaging, I think I can give you some assurance. Even if we would see no growth in China in the second half, we would not fall below the 21% in the imaging guidance. I mean this is obviously [indiscernible] assumption. But in general, this is not that sensitive to it. Therefore, we feel good about the margin range we gave for imaging and in particular, I would say, the more precise to be now in the lower half of it.
Marc Koebernick: Thanks, Falko. We move on to Dylan from Stifel.
Dylan van Haaften: So firstly, just on the HyperSight rollout. Is that going to be an over-the-air update? And is this going to be an upcharge, and we're going to see in revenues? So that's my first one. And secondly, just on tax. How should we envisage this develop over the year? Because it was my understanding that Varian-related taxes would fade and tax was quite substantially lower, and you haven't touched the tax guide. Should we sort of imagine that this normalizes over 3Q, 4Q?
Bernhard Montag: Dylan, I'm not sure I understood exactly the HyperSight question. Is it -- how did you call this? And It is what type of upgrade?
Dylan van Haaften: Sorry. An over-the-air update. Does that mean do you need to send people in? Or can you just roll it out through a software update? And will you upcharge people for it?
Bernhard Montag: Got it. Yes. No. This is an on-site upgrade, as it requires basically installing this much improved imaging system and the corresponding software, but it contains the high resolution detector for doing this spectacular CT-like images, yes? So it is an update, which requires people on-site. But still certainly a good business for us, but also, of course, a huge opportunity for our customers for improving their productivity and at the same time doing better patient care. Jochen, for the tax?
Jochen Schmitz: Yes. Dylan, as we did not update the tax rate assumption for the full fiscal year, it's fair to assume that the second half will show higher tax rates. And this is pure math. And that's also driven -- or the lower tax rate in the first half was primarily driven by, so to say, extraordinary items in the quarter where we had to -- due to tax audits, we're able to release certain provisions we had to build in for tax risk, which we -- which did not materialize, which is actually a good thing. But we expect to see a higher tax rate in the second half, just to say that again.
Marc Koebernick: So we are almost through the queue. So we have Robert Davies next online.
Unidentified Analyst: My first one was also on Imaging. Just kind of coming back to the growth you pointed in the quarter, the 2.6%, I think. Why was that not stronger given the position of the current backlog? I guess why could you sort of push deliveries even higher in the quarter? Was there -- is there any limitations at the moment on any components in the supply chain? Or is that just purely the kind of comp effect from the prior year? And I guess within that question, just maybe if you could kind of touch. I know you said your confidence on the second half is underpinned by sort of high single-digit service growth. But was that already high single digit in the first half? That was my first question. And then the second part was just a sort of progress update. I know you said you were quite happy with how Varian was going, but just in the overall kind of transformation of that business post-integration and kind of getting the right infrastructure in place, perhaps if you could kind of touch on that and just give us an update.
Bernhard Montag: Yes. Robert, maybe in the beginning, talking about the growth rates, I mean, this has been a very strong revenue quarter in absolute numbers. And then the effect you saw, we talk about -- and what we talk about is really the effect of the comps. And when I said in my speech, this growth on Imaging came in as expected, then this is what we really -- what we expected. So this was exactly how we went into this quarter from -- into Q2 from an expectation point of view. And bear in mind, I mean, when you look at 13% growth in the year before and you grow on top 3%, this means that, overall, the absolute numbers really are okay. So there is no effect from any issues on the supply chain here. On the Varian side, I mean, very, very good performance when it comes to changing the way deliveries are planned and executed end to end. We had this larger topic with pent-up schedules and so on with this topic of one supplier causing us headaches in the last year. This is -- this topic in particular is resolved. Overall, we are making very good progress in further in-sourcing components of the Varian systems. It was in last week in Kemnath. That is our second location in -- for production of the Ethos and Halcyon systems now in Germany. So it is a site in which many of the mechatronic components are developed and manufactured. So this is a site which has, in the meantime, delivered more than 100 [ LINEX ] of that kind. We are working on further cost on projects on the multileaf collimators. We are working on improving degrees of freedoms on the patient couches, using synergies with the CT and MR mechatronic components and so on and so on. And I am very happy with what I'm seeing. And I believe we have also made the right decisions when it comes to the people running these efforts. And we see the same also on the sales side of things. A lot of momentum in value partnerships. We had the examples on the slides, which are all of them are combined Imaging, Advanced Therapies and Varian cases. And as a last point, when we look at the synergies, we projected at the signing of the deal, which, by the way, is some 4 years ago, we are very well on track and even better than we thought here.
Jochen Schmitz: Last comment, when you look at the imaging numbers, I think it's also important to look at the absolute numbers. And I just give you an example. If you look at Q1 versus Q2, you see an increase from Q1 to Q2 in absolute terms, about 5%. The Q2 number is, in absolute terms, 5% higher than Q1, therefore -- and I think this underscores also that sometimes the problem with growth rates, in particular, when prior years have a significant influence on it, and therefore, I think we feel very good about the Imaging trajectory we see in.
Marc Koebernick: Okay. Thank you. So that brings us to the end of the call. We are on the top of -- actually, we're out of time. Let me just briefly remind you of some roadshow activity. So we'll be in London tomorrow virtually. And next week, Monday, we'll be in Frankfurt and Zurich and Paris and virtually in 2 parallel tracks. And on Tuesday, our U.S. roadshow will be part actually of the UBS conference. So if you want to see us on the -- in U.S. time zone, you should colleagues -- contact the colleagues from UBS for that conference. And beyond that, of course, a lot of conferences in May and June, where we will be intending where you also will be able to see us then in person. And then next touch point at latest then obviously, Q3 reporting, till then, stay safe and sound. Bye-bye.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. A recording of this conference call will be available on the Investor Relations section of the Siemens Healthineers website.